Operator: Welcome to the Fourth Quarter and Full-Year 2015 Microvision Incorporated Financial and Operating Results Conference Call. My name is Poletna [ph], and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Dawn Goetter, Director of Marketing Communications. You may begin.
Dawn Goetter: Thank you. I'd like to welcome everyone to MicroVision's fourth quarter and full-year 2015 financial and operating results conference call. In addition to me, participants on today’s call include Alexander Tokman, President and Chief Executive Officer; and Stephen Holt, Chief Financial Officer. The information in today’s conference call may include forward-looking statements, including statements regarding; benefits under existing contracts and the negotiation of future agreements; our competitive advantages; progress with prospective customers; projections of future operations and financial results; product development, applications and benefits; availability and supply of product and key components; market opportunities and growth in demand, plans to manage cash used in operations, as well as statements containing words like believe, goal, path, expects, plan, will, could, would and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are included in our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission under the heading Risk Factors relating to the Company’s business and our other reports filed with the commission from time to time. Except as expressly required by the Federal Securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changes in circumstances or any other reason. The financial numbers presented on the call today by Steve are included in our press release 8-K filed today, both are available from the investor page of our website. The agenda for today’s call will be as follows, Alex will report on the operation results. Steve will then report the financial results. I’ll also give an outlook on 2016, there will be a question-and-answer session, and then Alex will conclude the call with some final remarks. I now would like to turn the call over to Alex Tokman.
Alexander Tokman: Thank you, Dawn. Good morning. Thank you for joining us today for an update on MicroVision’s 2015 business results. 2015 was a truly breakthrough year for MicroVision placing us in the best position in our Company’s history. Our three most important accomplishments for the year: first, we signed multi-year licensing deal with Sony with an upfront $8 million license fee and worked with Sony to get their first display module into the market. Products began selling in 2015 earning rave reviews. Second, we increased year-over-year revenue by more than 160%, with 85% of that revenue coming from products sales and royalties. This change in the revenue mix is a direct result of our status strategy to license our technology and cell components. Our third most important accomplishment was reducing operating cash usage to less than $6 million, the lowest level in the recent Company history. We were able to realize these successes in 2015 through persistent execution of our business plan. Let's review how our specific progress against our goals for the year guide us to this pivotal point. Our first goal was to support Sony with display module commercialization. We successfully provided manufacturing support services to Sony and they launched their display engine in 2015. We recognized $1.5 million in revenue from this effort. Success on our first goal led directly to making strides on our second goal to develop new OEM and channel opportunities for display engine partners. Several design wins we delivered to Sony in 2015 resulted in commercially announced Pico projection products. First to market were two products from Celluon followed by Sony's own product. In addition Haier, the Chinese multinational consumer electronics and appliance company, put our technology in its full-scale R2D2 moving fridge. For all of you Star Wars fans, imagine watching a movie with Microvision’s technology from your very own R2D2 fridge stacked with cold drinks. Now how cool is that? Celluon’s next generation product, the PicoBit, ViewSmart’s product Qualper smartphone are additional products introduced at the end of 2015. We expect them to be available in 2016. As products with our technology hit the market, they generated a very positive media and consumer reviews. PC/MAC, for example named Celluon and PicoPro it’s another choice. And Sony's and Celluon’s products are highly rated, top sellers on Amazon in the pico projection category. Sharp, was our second customer to build a display engine that utilizes PicoP’s scanning technology. RoBoHoN, a very innovative smartphone robot with an embedded projector, was unveiled in 2015 to enthusiastic consumer and media reception. This very, very cool product is expected to be available in Japan in the second quarter according to Sharp. RoBoHoN, many of you may not know but RoBoHoN is a bit of a YouTube sensation with nearly 3.5 million views. We hope this interest translates into 2016 sales for Sharp. Our third goal was to increase supply capacity for the components Microvision sales. We initially build manufacturing capacity for several hundred thousand units after receiving a large purchase order from Sony in March, we invested in capacity expansion to prepare for larger volumes. By the end of the year the additional capacity was in place. Our fourth goal was a culmination of the first three goals, which was to achieve significant year-over-year growth through component sales and licensing of our PicoP scanning technology. We grew revenue for the year by more than 160%, compared to the previous year and earned the majority of our revenue from selling products. This year-over-year revenue growth and change in revenue mix was a significant accomplishment and the turning point for the company. We went from product and royalty revenue in 2014 of $400,000 to $7.6 million in 2015. A milestone towards achieving this goal was receiving orders totaling $14.5 million in March. We began delivering against the orders in the second half of the year, we expect to complete the deliveries this year. Goal number five, our final goal for the year was to evolve our PicoP scanning technology platform with the goal of offering enhanced features and capabilities to licensees of our technology. Through the work, our team did in 2015, we were able to create and showcase some important innovations at CES. I encourage you all to go and checkout the Displayground Blog on our website for a detailed rundown on what we showcased at CES. These innovations added to the PicoP core technology can further enhance, we believe they can further enhance the value proposition of products offered by OEMs. When we talk about the outlook for 2016 in a moment, I will give you more color on what this means moving forward. Now, Steve will recap full-year and Q4 financials for 2015.
Stephen Holt: Thank you, Alex. 2015 was a year of significant revenue growth for Microvision. 2015 revenue increased 164% from 2014. Also because of the $8 million we received from our license agreement with Sony, cash used in operations decreased by 55% to $5.8 million from 2014. Now, I’ll go through the financial results in a bit more detail starting with revenue. Fourth quarter revenue was $1.8 million, which is nearly 170% higher than 2014 Q4 revenue. Revenue for all of 2015 was $9.2 million, up from $3.5 million in 2014. What’s important to note is that, this year's revenue is comprised of $7.6 million of product and royalty revenue and only $1.6 million of contract revenue. Compare this to 2014 when we only had $392,000 of product revenue no royalty revenue and $3.1 million in contract and development revenue. In 2015, we said we expected our business to transition to be based on product and royalties and that is exactly what happened. Our year-over-year growth in the quarter was significant but we recognized that Q4 revenue of $1.8 million was lower than a $2.4 million we recorded in Q3. The lower revenue was directly a result of the component shortage we experienced in the September through November period. We got back on track in mid-November, but there wasn't enough time left in the quarter for us to shift all we planned. We understand that there could be some uncertainty as to what to expect in 2016 based on this pattern. So I’m pleased to share that we expect to see sequential revenue growth in Q1 and overall revenue growth for the full-year 2016. And Alex will give some guidance for expectations of 2016 revenue later in the call. Now, not unexpectedly due to the component shortage gross margin of 21% for the quarter was down three points, compared to the previous quarter. The decrease is due to lower margins on product revenue. Product margin in the quarter was negative 1% and this is down from the 13% product margin we earned in Q3. The decline in product margin was driven primarily by two factors, amortization of fixed expenses and increased scrap. Because production lines were idle for several weeks, fixed expenses were amortized over fewer units produced. In Q3, we were starting to hit good yields. And saw the lowest scrap ever. However, as we restarted production in November and December, it took several weeks to get yield rates – to get better yield rates there by increasing Q4 scrap. We continue to be focused on gross margin improvement with the goal to improve it over the course of 2016. We see better gross margins being achieved through increased volumes, reductions in vendor pricing, and better yields. Q4 operating expenses were $4.7 million compared to $3.5 million in operating expenses in Q4 of 2014. Operating expenses for 2015 were $16.6 million, up from about $15.6 million for 2014. Of the 6% increase in annual operating expenses, about half is due to an increase in headcount and employee related expenses. And the other half is due to a 2014 reduction in operating expenses related to the sale of previously reserved inventory. Our fourth quarter 2015 net loss was $4.3 million or $0.09 per share, compared to $3.4 million or $0.08 per share in the fourth quarter of 2014. Our 2015 net loss was $14.5 million or $0.31 per share. Our 2014 net loss was $18.1 million or $0.44 per share. The 2014 net loss figure includes a $5 million non-cash loss on the exchange of warrants. Cash used in operating activities was $3.7 million in the fourth quarter compared to $3 million in the same quarter last year. And operating cash usage for 2015 was $5.8 million which is 55% lower than the $30 million used in 2014 and the cash usage was the best in recent Company history. Cash and equivalents on hand on December 31 were $7.9 million and included $500,000 that we raised on our ATM facility in the fourth quarter. Backlog at the end of the year was $11 million primarily related to Sony orders. We expect to fulfill those orders in 2016. That concludes the financial results. And we will go back to Alex for discussion on what’s ahead in 2016.
Alexander Tokman: Thank you, Steve. Let's look quarter ahead now. Our 2016 goals are organized around two primary initiatives: first, to again significantly grow revenue and margin; and second, to invest in the emerging growth markets beyond projections. Let's examine each. Our growth goal for the year is to significantly increase revenue between 40% and 70% versus 2015. It is our expectation that most of the revenue growth in 2016 will come from component sales and royalties to our two commercial customers Sony and Sharp. I'll leave you an indicator for our progress here will be new OEM products entering the market in 2016, quite simple. Now, here's what we will be doing to reach our 2016 growth goal. Supporting our customers Sony and Sharp is priority one. We are actively assisting Sony in shepherding the existing opportunities and adding new opportunities to the customer funnel for Sony's engine. The goal is to keep pipeline strong for 2016 and beyond. The funnel of opportunities currently contains a number of OEMs, some of whom began developing products based on Sony's engine last year, including several top tier consumer players. These are above and beyond the customers and products that were introduced in 2015. Based on the information that we have today, we believe that several of these 2015 pipeline opportunities will result in commercial offerings by OEMs this year. We see a significant commitment by Sony here to this technology and believe in the future opportunities in this emerging market. Sharp, we delivered components to Sharp earlier this quarter and we look forward to introduction of RoBoHoN to customers in Japan soon. Optimizing supply of MicroVision components is another high priority for us. We plan to improve our product gross margin by a way of increased component volume and improved supply chain efficiencies. Increased component volumes will help us to lower cost as Steve has described. And we’re focusing on improving operational efficiencies to improve process yields. Now let's examine the second goal, investing into new emerging growth opportunities in Pico projection, 3D sensing and augmented reality for 2017 and beyond. Today, MicroVision, our patented approach to laser beam scanning delivers the required capabilities for compelling Pico projection products. Infinite focus, high definition, the ability to create a large screen from short distances, the ability to project on any surface all from a compact, low power display engine, these features have earned high praise from consumers and reviewers alike. But to stay ahead of the competition we continue to invest in innovation. Our technology investment this year built on the progress from last year and focuses on several areas. One such area is core display platform improvements, increased brightness, reduce power consumption, reduce size. We expect that our customers will be able to introduce higher brightness products starting as early as this year based on the work that we completed last year. Another important area is creating new features for mobility that enhance and simplify end user experiences when interacting with Pico projection devices. Here we successfully demonstrated a number of features at CES. Two of them, OEMs, were particularly interested in both dual-mode projection and automatic keystone correction. Let me give you a little more color on these. The dual-mode projection feature extends the tight pro ratio we already have. Using custom algorithms, a projector propped on its edge can create a compelling size image on the tabletop. The same projector then can be turned to create huge images on the wall and ceiling. Automatic keystone correction future, significantly we simplified the model viewing experience by maintaining a rectangular image, regardless of how you hold or position the projector. It is a natural complement to the infinite focus which is already a hallmark of our technology. The third area of focus includes the opportunities that go beyond projection. We will be developing features and product concepts that could extend Microvision’s PicoP scanning technology into emerging market opportunities involve 3D sensing and augmented reality. We believe that our technology offers certain inherent application advantages due to its ability to sense or see objects in addition to displaying information. Many top tier consumer electronics companies are looking at 3D sensing today. This field contains a broad array of applications ranging from gesture recognition, to depth sensing to machine vision, for example for automatic inspection or robot guidance, autonomous cars, drones, and many more, each with their specific diverse requirements. We do know today that PicoP scanning technology has some core strength that are beneficial for these applications. OEMs are particularly interested in the following capabilities: first, is PicoP scanning’s technology ability to create a slim, power-efficient, scanning engine that can capture 3D data and project HD information simultaneously. Next is our ability to work with multiple sensing methods which include time-of-flight, structured light, triangulation and several others. And finally, PicoP scanning technology offers extremely well persistence and live performance, which are important, for example in an autonomous vehicle that needs super fast and accurate responses to its environment. As we explore where to best focus our efforts in 3D sensing, we will be collaborating with some of the industry giants to align our roadmap with the needs of these emerging markets. Last year we identified several key applications to focus on that enable interaction with projected images. Sometimes this array is called computer human – human computer interaction. This year we started identifying new opportunities in the machine vision and 3D measurement areas that could leverage our competitive advantages. Shifting focus to augmented reality. Augmented reality is not new to MicroVision, we always thought that a well-designed augmented reality product, supported by the right content delivery ecosystem, could revolutionize how people consume information. We knew that this is a very complex application because it requires a full convergence of complimenting technologies including display, optics, sensing, user interface, ergonomics, electronics advancements, MicroVision’s technology offers inherent display and optical advantages for augmented reality. Images are scanned directly and safely into users’ eye, creating a large field-of-view, high definition, see-through virtual images with lowest lag and persistence. In 3D sensing case, we are working with some of the major players in the industry to align our technology development with the needs of this market. Before, we open up for questions let's just recap all goals for 2016: first, growing revenue significantly between 40% and 70%; second, improve gross margin and finally extend PicoP scanning technology beyond projection by investing into new emerging markets 3D sensing and augmented reality. Now let's open for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mike Latimore from Northland Capital. Please go ahead.
Mike Latimore: Great, good morning Alex and Steve. Let see on the – you're expecting very strong growth this year looks like, I guess, a lot of that demand is highly visible given the backlog. I guess when you get new orders, do you think the orders would come in kind of like Sony where they give you a big order and they kind of that covers several future quarters or do you think future orders will be more kind of just in time or it’s a shorter timeframe evolved [ph].
Alexander Tokman: Mike, we typically that we have a lead time that we gave to Sony and Sharp, for example of how much in advance they need to give us orders. So what we anticipate, couple of things, first, do we expect new orders this year? The answer is yes. Then the size of these orders will be negotiated between Sony and us depending on how we're progressing with the delivery of backlog and how their demand looks to be on the backlog that where you’re delivering it. So again yes we expect new orders. But at this point in time we haven’t finalized the quantities and how this is going to be. You have to assume when you have normal operations, there will be some lead time three, four months and when you get close to the end of the existing backlog they would place new order.
Mike Latimore: Exactly. And the $11 million of backlog do you expect that to kind of basically be recognized in this calendar year?
Alexander Tokman: Yes, for us to hit 40% to 70% growth we have to deliver on this backlog and receive new purchase order.
Mike Latimore: Okay. And then pointing to the fourth quarter, I guess, it sounds like you were able to ship and recognize revenue for mid-November to mid-December given the holidays or maybe a month shipments.
Alexander Tokman: Correct. As Steve mentioned we have a shorter operating window because of the holidays, Christmas holidays. So we actually – operations was up, the rate was up, the scrap was down but we had a less time to operate. So we hope this will translate into a good first quarter.
Mike Latimore: Okay. And you talked about product versus royalty looks like in the fourth quarter is that ratio about right or correct to think about going forward is that you don’t know the other?
Stephen Holt: Yes, it’s still early in the stages of products sales so we expect there to be irregular patterns from quarter-to-quarter with the revenue. So I wouldn’t be looking for patterns yet between the product revenue and royalties.
Mike Latimore: Okay. And then the new OEMs that are – have been working on Sony module in 2015, I know you can’t say who we are, but can you talk a little bit about what applications they’re developing as that more of these lateral companions of it embedded in mobile phones any color on kind of what the new product may look like?
Alexander Tokman: So far, right, what you've seen entering the market different type of companions, smart companions and Wifi companions and then call per Smartphone is an example of different use case, their products I don’t if you’ve seen but at Mobile World Congress, Sony have showcased product concepts they will be introducing in the future. And one of them was the Xperia Agent, this was a different looking product, it has our technology insights. So you're going to see a combination. Majority would be companion products of different vintages and industrial designs and functionality, but we expect there will be some combination from different used cases. Companion attachment and obviously call per is example embedded product. One of the things that we were focusing with together with Sony is to ensure that the products that will be introduced will be introduced by people who can put some marketing muscle behind them, which basically includes the tier one consumer electronic companies. And we have several of them on this opportunity always – we obviously hope to introduce products this year.
Mike Latimore: Got it. And the last question. What’s the – you may have said this in the comments what’s the rough target gross margin that you were talking about?
Alexander Tokman: We haven’t given the gross margin target as Steve said because there is some fluctuations that’s volume dependent. We decided to take a bold move and give the revenue guidance. Our goal is obviously we finish the year. If you look at the gross margin we started the year at negative 17% gross margin for royalty and product. Negative 17% in the first quarter, then we improved that to positive 18% and then we settled in the low-to-mid 20s in the second half of the year. Our goal, we obviously were not satisfied with low-to-mid 20s margin so our goal is to improve it further. Unfortunately, we’ve not given specific guidance on the numbers yet.
Mike Latimore: Okay, great. Thank you.
Operator: And our next question comes from Kevin Dede from Rodman. Please go ahead.
Kevin Dede: Thanks. So I guess I just lost track a little bit of when you were talking about your guidance. I just wanted to make sure and are you talking about 40% to 70% up from total revenue this year?
Stephen Holt: Yes, that’s correct Kevin.
Kevin Dede: Okay. If that’s the case can – I know Mike try to delve into this little bit, but can you give us a ballpark on how you think things fall out between your revenue lines? I mean are you looking for perhaps another contract coming during the year or is this purely just growth in product and royalties?
Stephen Holt: We anticipate Mike – I’m sorry Kevin, we anticipate that that majority of the revenue will come from selling components and the royalties to Sony and Sharp, with majority coming from Sony obviously. This would be the dominate component for this growth.
Kevin Dede: Okay. Do you have any insight into the sell-through that Celluon is experiencing? You have a read on sort of a consumer uptake and I mean granted you may mention of the recognition that the product is receiving in PC/MAC, et cetera but I was just wondering if you had sort of another eye to the end market?
Alexander Tokman: Kevin there are two answers. So there don’t share, neither Sony, nor Cellion, or others – they are not sharing sell-through numbers to us we know we estimate these through what we shift to Sony to produce engines and then we extrapolate based on what we receive from royalties. But fundamentally what we know is the following, the two products that hit market last year around the globe U.S., China and several other regions, they were top sellers in their product category. So as soon as Cellion and Sony entered Amazon channel and yes, for example, they immediately became top sellers. Sony product has been number one seller since it's been introduced in September, October. And Cellion has been a top seller since April, I believe of 2015 and then Sony displaced it. Believe me there are a lot more choices for people to select from cheaper choices. But it appears to be these products have gained good momentum. So what we are focusing on to basically facilitate other OEMs to introduce more products in different channels. And we expect if we could get this much traction from several products in 2015 – our expectation is there will be more products in the market this year in different channels and that would multiply our revenue allow us to grow.
Kevin Dede: Okay, fair enough. Thanks. Can you talk a little bit about your own infrastructure? I mean I know you have some new hires as of last fall but I'm just wondering should you experience sort of the high-end of your growth range whether or not you feel you’ve got personnel and capacity to position MicroVision for growth beyond what you're expecting?
Stephen Holt: Right, we expect modest increases in personnel because we use contract manufacturing in R&D and operations we have and will have people but it won’t be an order of magnitude above where we are today. By using contract manufacturers we don't have to add a lot of people or infrastructure to grow revenue.
Kevin Dede: So would you I guess on that basis would you do expect operating expenses to sort of stay in the same ballpark or how should we think about that?
Stephen Holt: Yes, we expect some moderate growth in 2015 growth was 6% over 2014 of course revenue grew 160%. And I think from time to time we may invest in things like ASICS, new ASICS that will have – cause a temporary blip in our Op Ex. And so that would be necessary and those ASICS are necessary to grow the business and pursue other opportunities. So you could see some increases due to those kinds of things.
Kevin Dede: Okay.
Alexander Tokman: Just a little bit more color to what Steve said, Kevin, remember we don’t have to extremely grow OpEx to address the new opportunities that we’re looking because you know from 2013 until 2015 we had about 90% of resources were assigned to help get Sony to commercialization. Well that major program is over so now we have a lot of resources coming up and being assigned to the other growth programs and therefore we expect only modest to moderate increase in the OpEx.
Kevin Dede: And one last question for me Alex. So you talked about the key estimates and the tabletop capability, now were you to be asked to provide that to customer would that be an incremental charge or do you think that’s get frozen into the cost that you are offering as if?
Alexander Tokman: It’s going to be dependent Kevin, whether this feature is going to come externally to the projection module or it’s going to be built in and right now we are determining what is the best way of implementing this. And as Steve just mentioned we potentially would invest in A6, we would invest in A6 introduced new feature into our portfolio. So it could be provided as a part of the solution and doesn’t need to be built extra at the product level by the OEMs. But fundamentally we obviously expect, as we load more features, we expect to up charge for – we add more values so we would expect that the cost would – the cost to OEMs would increase because we provide more value, not we but I mean, whoever’s is going to provide engines whether it Sony or somebody else.
Kevin Dede: Very good, thanks, Alex. Thank you Steve.
Operator: Our next question comes from Tom Zulist, Private Investor. Please go ahead.
Tom Zulist: Hi Alex congratulations on a good operational quarter, getting things back on track. Sharp, we currently don’t have any real contract with them. So where do we stand with them and how do we deliver to them?
Alexander Tokman: We received purchase orders from Sharp Tom and where actually we delivered against the initial purchase orders this quarter.
Tom Zulist: Okay.
Alexander Tokman: So we’ll talk more about it at the Q1 report, but fundamentally we already started delivering to Sharp so we do have agreement and we’re delivering against the agreement.
Tom Zulist: But for in other words, if let’s say they go into commercial production start offering this product as a manufacture like Sony is then we would expect to see some type of licensing and some type of bigger blanket contract would that be a correct assessment?
Alexander Tokman: So this is remember we spoke about there are slightly different models depend on type of relationships we have with OEM. In Sharp’s case we provide components, more components than what we’ve provide to Sony and where should we built the royalty inside the transfer prices of these components.
Tom Zulist: Okay.
Alexander Tokman: So this specific case you would not see single alloc [ph] of royalty from Sharp because its part of the transfer price of components.
Tom Zulist: Yes, you been to a lot of these different shows, the Consumer Electronics Show and you were showing these products are you finally seeing that the industry is starting to recognize that this projection product is getting to the quality level, the efficiency that you’re starting to see some excitement about what we've seen for all these years.
Alexander Tokman: I think you’ve seen that there is of course some – that the four markets that we’re pursuing, I mean, just think about this pico projection head up displays, 3D sensing, augmented reality all of these – all of these four markets are emerging. There are no really establishment yet. This is something that people expect to grow in the next few years at different rates depending on which sector you look at. But fundamentally what we see today we see a great feedback from consumers. I mean, we don't have to tell you how great we feel our technology or our products are, just go to Amazon and look at the reviews. I mean Sony's and Cellion’s products gained really, really high reviews from people who buy these products. OEMs are excited about because they see that we have a roadmap to even further improve on what is being sold today. For example, we just mentioned earlier in the call we did some work last year to improve to boost brightness of these products. And this year, we believe you're going to see products in the market which will be much brighter than what was introduced last year. So that's one area. The second area is whenever peoples see projection the next question they're asking, well what about a gesture recognition. Can we articulate the images in the areas in our hands? Yes, of course you can be use our technology because it can sense and project information at the same time. Okay. Let’s sit down around the table and decide how we're going to collaborate on this activity. Do you want to add this at the product level or do you want us to basically incorporate this into next generation of display module so it comes inherently with it. This is what we're going through. So we do see a lot of traction and we excited not just about pico projection but also the fact that 3D sensing and AR are gaining momentum. And it's the right time to enter the market.
Tom Zulist: Right. When it comes to AR, we've seen a couple of different representations of how AR is going to work some of them use a projector that goes to mere to the retina. And other ones can project directly on to the retina. Number one does your product lend itself to both solutions? And number two how stronger your patents in that area that protect anybody else from being able to do what you're capable of doing?
Alexander Tokman: So two answers. First, how implementation – we have direct retinal displays, it’s the purest form of passing information from a source into the human brain. So in this regard, this is probably the best technology in the light. The scan beam laser technology is the best technology for the AR applications, because it offers inherent advantages, such as ability to create large field of view from a compact device. Second, it gives you see-through content, which is essential for augmented reality. And number three, it gives our technology, gives the best performance in the smallest lag, and smallest persistence. Now, what does it mean to people who don’t know what it is, it means that if you put this device on your head, most of the technologies that exist today possess, what’s known lag and persistence. What it means is, if the image, and your movement is, are not synchronized well, within a very, very short interval, you experience headaches, and motion type sickness. So, the lower the persistence and the lower the lag is the better, the performance of the device will be the less distortion, the less uncomfortable you’re going to feel. We believe our technology brings these elements into the display front. But again, remember, augmented reality product is more than just a display. You need to put all the right pieces to create a compelling proposition. We believe we provide a compelling piece for the display portion.
Tom Zulist: Now, with some of the products that we’ve seen coming out in augmented reality, you’re able to actually manipulate an object, which is projected into the view of the user. Does your technology allow that to happen also?
Alexander Tokman: Exploring this, I’m not fully…
Tom Zulist: So, in other words, if somebody puts on an augmented reality helmet on, like Meta and all of a sudden they’re projecting an image in space, and they’re able to interact with their hands, with that object.
Stephen Holt: This is, it’s – which you described, it’s a pure application. This is what Meta has done, Meta as a perfect example of a company, who took the existing technologies and assembled it with the software and algorithms to create 3D visualization. That is what their strengths are, is our strength would be to provide a display solution that they can use in the whole system combined with their specific algorithms and applications to create this application. So again, we’re not the creators of augmented reality product. We provide the best LEGO piece to create – to complete the overall puzzle. Does that make sense?
Tom Zulist: I see, yes. And what you’re saying is that because yours is a direct on to the retina, it tends to be the most efficient therefore, it tends to be more in real time, because it has less inefficiencies built into its component processes, correct?
Stephen Holt: Exactly. And low persistence and lag, within our pixels, within millions of pixels per second that is what gives us the lowest persistence and lag.
Tom Zulist: Right. Okay, perfect. Looking forward to the future they always takes longer and we expect but great job glad to see you handle the issues we had last quarter and that’s behind us and our reputation is there so that’s the most important. Thank you.
Operator: And our next question comes from Scott Van from Bank of America. Please go ahead.
Scott Van: Yes, congratulation on a good solid year. My question has got to do with something you mentioned Alex about capacity expanding that into the end of the year. I know about six, eight months ago you’d mention that you could ramp production, ramp capacity up to 10 times or so in about six months period. I know you got that non-disclosure agreement. So I’m not looking for any numbers but will you able to expand in that type of rate over this past six months?
Alexander Tokman: Scott, what we said, we said that we built at the end of 2014 we built capacity of several 100,000 units for 2015 and then in March when we receive the large purchase order from Sony for $14.5 million we start investing into increasing capacity to accommodate delivery on the larger purchase order. We implement that the capacity by the end of the year. I don’t think we ever stated it is going to be timestamp, we stated we’re going to increase to accommodate the demand that we see in front of us. And that’s what we are right now. So when we gave the guidance for the revenue for this year 40% to 70% we believe we have enough capacity to deliver against this growth.
Scott Van: Got you, very good. Speaking of the NDAs, how many actually have NDAs with currently?
Alexander Tokman: There are so many people we are dealing with, I don’t have a specific count…
Scott Van: Okay and I also understand that a lot of the focus here is really on Asia markets, you correct me if I’m wrong about that. But I’m wondering how soon volume of production and so forth capacity will allow us to bring a product into the United States that just high volume product like in embedded cellphone. What are your thoughts about will it takes to get that volume?
Alexander Tokman: As we mentioned earlier one of our and Sony’s goals is to create an opportunity funnel for new products that contains Tier 1 consumer electronic players because we obviously every – it’s not a secret they have more presence, they have more marketing dollars, they have better ability and then smaller guys to promote this so that everyone knows such category exists. Some of the studies we’ve done in the past showed that if people see and touch and play with pico projector, Sony’s or Cellion’s, they would immediately willing to sell out $300 to buy it but 97% of those people did not know such thing existed. So awareness would be a key and this is why we are focusing on some of the Tier 1 our consumer electronics players. Once they introduced products, we believe they would spend more promotional in marketing dollars to make – to create the awareness. So that’s goal number one. In terms of – where they going to put these products again, when we meet them we give them all the choices. We say look you can create compelling companion product, you can create a compelling attachment product. You can embedded inside and create inside your devices, whatever the mobile devices that maybe. Then they make the choice and determine what is the best for them at that any given time. So we don’t really control this but we can encourage and provide the options and then they make the decision.
Scott Van: Got it. Last question probably for Steve, you all did great work with reducing that cash use, where you’re starting the year 2016 with your cash right now?
Stephen Holt: Our cash balance at the end of the year was $7.9 million.
Scott Van: Got it. Okay, that’s all my questions. Thank you gentlemen.
Operator: And we have no further questions at this time. I will now turn the call over to Alex Tokman for closing remarks.
Alexander Tokman: Well, thank you. 2015 was a breakthrough year for us. And we’re optimistic we’re going to have even better 2016. We expect to significantly grow revenue between 40% to 70% and improved margin in 2016. To continue on the path of real growth we began last year. We will be investing in the emerging growth opportunities and finding applications and partners that could extend our PicoP scanning technology into 3D sensing and augmented reality. You will be able to monitor our progress in 2016 through new OEM products enter into market increase component and royalty revenue resulting from increased volume of ship, goods from MicroVision to our customers and new development collaborations with major players in pico projection, 3D sensing and augmented reality. A compelling growth, we expect in the pico projection market through Sony in 2016 is only the beginning. This is the important to point out, we’re just starting as we finding new opportunities for pico projection scanning technology and other attractive markets. We believe this is just the beginning of our expansion and we look forward to providing you with update in few months and looking forward to speaking to you really, really soon. At this point in time we’d like to close this call. On behalf of Dawn and Steve, thank you for joining us. And we’ll talk to you in a couple of months.